Operator: Welcome to the Fiscal 2024 Third Quarter Earnings Call for Applied Industrial Technologies. My name is Rochelle and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Ryan Cieslak, Director of Investor Relations and Treasury. Ryan, you may begin.
Ryan Cieslak: Okay. Thanks Rochelle, and good morning to everyone on the call. This morning we issued our earnings release and supplemental investor deck detailing our second quarter results. Both of these documents are available in the Investor Relations section of applied.com. Before we begin, just a reminder, we'll discuss our business outlook and make forward-looking statements. All forward-looking statements are based on current expectations subject to the certain risks and uncertainties, including those detailed in our SEC filings. Actual results may differ materially from those expressed in the forward-looking statements. The company undertakes no obligation to update publicly or revise any forward-looking statements. In addition, the conference call will use non-GAAP financial measures, which are subject to the qualifications referenced in those documents. Our speakers today include Neil Schrimsher, Applied's President and Chief Executive Officer; and Dave Wells, our Chief Financial Officer. With that, I'll turn it over to Neil.
Neil Schrimsher: Thanks, Ryan, and good morning, everyone. We appreciate you joining us. As usual, I'll begin with some perspective and highlights on the key drivers of our results, including an update on industry conditions as well as expectations going forward. Dave will follow with more detail on the quarter's financials and provide additional color on our outlook and guidance, and then I'll close with some final thoughts. Overall, our third quarter results reflect our strong industry position and ongoing progress with our internal growth initiatives against a mixed and evolving end market backdrop. There are a couple of puts and takes I want to walk through. First, sales exceeded our expectations during the quarter and returned to modest year-over-year organic growth. The year-over-year trend improved each month through the quarter. While partially reflecting easy comparisons, reported sales also benefited from solid performance across our core service center segment where steady break fix activity, sales process initiatives and secular growth tailwinds continue to drive positive momentum. This was partially offset by ongoing modest sales declines within our Engineered Solutions segment. Set by ongoing modest sales declines within our Engineered Solutions segment. While the decline was slightly greater than expected, we're seeing several encouraging developments, including stabilizing technology vertical headwinds, strengthening process flow orders. In addition, our automation platform is also developing significant growth opportunities that we expect to start billing in the quarters ahead. All of this indicates that fiscal third 2024 will represent the trough in the segment's year-over-year sales performance. Combined with improving short cycle macro demand indicators in recent months and potential incremental tailwinds tied to infrastructure spending, reshoring and our cross-selling efforts, we are positioning the business to accelerate organic growth in coming quarters and progress towards our long-term growth objectives. This growth positioning and the modest sales growth backdrop near term resulted in some expense deleveraging during the quarter. Our Applied team continues to execute and control cost effectively as reflected in operating expense up less than 2% year to date. This is inclusive of slightly higher support cost and our annual merit increase that went into effect January 1 and despite some prior year expense favorability. In addition, we remain on track to achieve record cash generation this year, which will provide additional capacity for capital deployment opportunities. Our priorities remain unchanged with a primary focus on optimizing growth and operating capabilities through both organic investments and inorganic acquisitions. Secondarily, we look to return cash to our shareholders through opportunistic share buybacks, while continuing to support consistent annual increases in our ordinary dividend and managing our balance sheet commitments. Over the past 5 years, we've deployed over $900 million in capital towards these areas. As it relates to acquisitions, we have significant potential based on an active pipeline and our industry position. We remain focused on our return framework and opportunities that stand to enhance our organic growth, margin profile and competitive position long term. Considering the fragmented markets we compete in as well as increasing technical and operating requirements across our industry, we believe M&A activity could increase over the next several years. On that note, as indicated in our press release this morning, I'm pleased to announce a definitive agreement to acquire Grupo Kopar, a provider of emerging automation technologies and engineered solutions primarily across Mexico. This acquisition will extend our automation footprint with the addition of 16 locations across Mexico as well as Costa Rica and Texas. Kopar has strong alignment with our strategy, focused on high value robotics, machine vision and IoT applications, and they will provide a diverse portfolio of established customers across food and beverage, automotive, light manufacturing, electronics and pharmaceutical end markets. The acquisition will add approximately 200 new associates and is expected to generate annual sales over $60 million in the first year with accretive contributions to both gross margins and EBITDA margins. We expect the acquisition to close in the coming weeks, and we look forward to welcoming Kopar to Applied and leveraging their capabilities going forward. As it relates to the underlying demand environment, overall dynamics remain mixed but generally stable. Demand within our core technical MRO operations has been resilient, including solid demand across our U.S. service center and flow control operations, where sales increased organically by a mid- to high single digit percent during the quarter, including strong activity during the month of March. We believe steady capacity utilization and heightened technical MRO requirements on critical production infrastructure remain key tailwinds. This has been further supported by an increased focus on energy efficiency and service coverage. That said, end market dynamics within these MRO areas of our business are bifurcated to some degree. In addition, demand remains more muted across the OEM channel including reduced shipment activity for off highway mobile fluid power components and systems within our Engineered Solutions segment. We believe this partially reflects ongoing recalibration across various mobile end markets as supply chains stabilize and higher interest rates balance more capital-intensive machinery production. As such, we saw slightly more mix trends out of our top 30 end markets during the quarter, where 15 generated positive growth year over year compared to 18 last quarter. Growth was most favorable across food and beverage, primary metals, utilities, mining, lumber and wood verticals during the quarter, offset by declines such as machinery, energy, pulp and paper and fabricated metals. As it relates to the solid performance within our Service Center segment, we continue to see strong growth across larger national accounts and fluid power aftermarket sales. We also began to see some improving growth out of our local customer accounts during the quarter, partially reflecting demand for our conveyance and shop services. In general, technical break fix activity remains resilient across many of our key service center markets. We believe our service center customers remain focused on sustaining appropriate MRO activity on core equipment as they position and refresh production capacity for growth in years to come, especially when considering aged industrial production assets across the U.S. and an increase in focus on energy efficiencies. Our technical domain expertise and access to core industrial equipment puts us in a leading position to help customers manage through these operational requirements, particularly as they struggle with finding skilled labor. In addition, our sales initiatives continue to drive new growth We're leveraging technology investments to streamline processes and digitally enhance capabilities and business intelligence. Our service center teams are going to market today as key consultants to our customers' most important capital equipment, making our relationships and interactions increasingly strategic and less transactional. This is driving increased account penetration and account openings as well as expanding opportunities to cross sell our technical solutions, including new industrial technologies tied to robotics and IoT. Overall, our service center team is executing at a high level and remains in a strong growth position moving forward. Within our Engineered Solutions segment, MRO activity and capital spending on process infrastructure remains positive across our flow control operations. Consistent with prior quarters, flow control is benefiting from new business tied to customers' de carbonization and energy transition efforts. This includes technical support for the configuration, assembly and testing of process systems used in carbon capture, utilization and storage as well as producing alternative fuel sources. Combined with internal business development and solid sales execution, we saw flow control booking activity gain momentum during the third with related orders up by a high teen percent both year over year and sequentially. In addition, demand and order activity for stationary fluid power systems across industrial focused end markets remains relatively firm. We believe this partially reflects the many positive secular tailwinds across the U.S. manufacturing base, including investments focused on updating and expanding industrial production infrastructure and aging manufacturing equipment. This includes enhancing efficiency and lifecycle of hydraulic systems and power units, filtration systems and hydraulic presses and is reflected in positive fluid power sales growth within metals, mining and rubber industries during the quarter. That said, these trends were more than offset by reduced activity for off highway mobile OEM components and systems within fluid power and to a lesser degree ongoing organic sales declines within our automation operations as expected. We believe the lower number of operating days and holiday timing in March had some impact on the completion and timing of engineered solutions in these more technical and assembly heavy areas of our business. Nonetheless, underlying demand and backlog conversion from mobile OEM fluid power customers was mixed in the quarter, partially reflecting more balanced production activity across various machinery end markets. Overall, while the sales backdrop within our engineered solutions segment remains bifurcated near term, we are constructive on the segment's potential into fiscal 2025. Of note, the year over year headwind tied to technology vertical has stabilized and could emerge as a positive growth catalyst in coming quarters as comparisons continue to ease and demand within this key end market recovers. Early leading indicators have been directionally positive across the semiconductor space in recent months. In addition, we are favorably positioned to benefit from the ongoing secular growth across data center infrastructure including providing various fluid conveyance, flow control and robotic solutions for server cooling, material handling and technical maintenance. We also note that customer interest in our automation operations remains positive with our sales funnel and presales engineering activity remaining active. We have meaningful growth opportunities developing in automation given the scale, service and engineering capabilities we are developing around advanced technology such as smart vision and mobile robots as well as the market access our service center network provides. Combined with the building order activity, cross flow control and easing comparisons, we look forward to seeing a rebound in segment growth in coming quarters. At this time, I'll turn the call over to Dave for additional detail on our financial results and outlook.
Dave Wells: Thanks, Neil. Just a reminder before I begin. As in prior quarters, we have posted a quarterly supplemental investor presentation to our investor site. This is for your additional reference as we recap our most recent quarter performance and updated guidance. Turning now to details on our financial performance in the quarter, consolidated sales increased 1.3% over the prior year quarter. Acquisitions contributed 120 basis points and foreign currency translation had a positive 20 basis point impact, while the difference in selling days had a negative 80 basis point impact. Netting these factors, sales increased 0.7% year-over-year on an organic daily basis and approximately 16% on a two-year stack basis. As it relates to pricing, we estimate the contribution of product pricing on year-over-year sales growth was in the low single digits for the quarter and relatively unchanged from last quarter. Turning now to sales performance by segment. As highlighted on Slide 7 and 8 of the presentation, sales in our Service Centers segment increased 2.6% year over year on an organic daily basis when excluding a 1.5% positive impact from acquisitions and a 30-basis point positive impact from foreign currency translation. On a sequential basis, segment sales per day increased 4% from fiscal second quarter, only slightly below normal seasonal patterns and an improvement from relative trends in recent quarters. Growth in the quarter was strongest across our U.S. service center network led by solid contributions from strategic accounts as well as improving growth among local accounts. This was partially offset by more muted sales trends across our international operations. Within our Engineered Solutions segment, sales decreased 3.6% over the prior year quarter. This includes a positive 40 basis points of growth from acquisitions. On an organic daily basis, accounting for one less selling day in this year's quarter, segment sales decreased 3.2% year-over-year. Stronger growth across process flow control markets was more than offset by lower fluid power sales against a difficult prior year comparison as well as ongoing sales declines within our automation operations. That said, both fluid power and automation sales were unchanged sequentially and as mentioned earlier were likely adversely impacted by more muted system shipments due to the calendar shift and holiday timing during March. In addition, contribution from the technology vertical remained subdued during the quarter, though the year over year headwind abated relative to recent quarters, reflecting easier comparisons and demand stabilization. Moving to gross margin performance. As highlighted on page 9 of the deck, gross margin of 29.5% increased 8 basis points compared to the prior year level of 29.4%. During the quarter, we recognized LIFO expense of $4.8 million compared to $8.2 million in the prior year quarter. This net LIFO tailwind had a favorable 30 basis point year-over-year impact on gross margins. Third quarter LIFO expense was, however, up sequentially and slightly higher than our expectations. In addition, we estimate gross margins in the quarter include approximately 10 basis points of unfavorable mix compared to prior year levels. This primarily reflects lower engineered solutions segment sales as well as strong national account sales growth and a lesser mix of automation engineered solutions compared to the prior year. Overall, we continue to manage broader inflationary dynamics well through our ongoing initiatives, including enhanced analytics, freight expense management and channel execution. As it relates to our operating costs, selling, distribution and administrative expenses increased 5. 3% compared to prior year levels. SG&A expense was 18.9% of sales during the quarter, up from 18.2% during the prior year quarter. On an organic constant currency basis, SG&A expense was up approximately 3% over the prior year period. We saw slightly greater than expected expense deleveraging in the quarter given muted sales growth combined with higher employee costs, professional fees and investments tied to a growth and supporting our constructive outlook. In addition, year over year SG&A expense comparisons were impacted by some cost favorability in the prior year period relating to strong AR collection performance and related provisioning reversals. We continue to manage costs well as we balance expense controls against our growth initiatives and outlook, as well as face ongoing inflationary pressures. Overall, slightly greater than expected engineered solutions sales declines combined with unfavorable expense absorption, mix and difficult prior year comparisons resulted in reported EBITDA declining 3.3% year-over-year during the quarter, while EBITDA margin of 11.8% decreased 56 basis points year-over-year. We view the year-over-year declines in EBITDA and EBITDA margin as a transitory near-term dynamic and largely isolated to the third quarter, particularly when considering prior year comparisons. On a year-to-date basis, we note EBITDA has increased 4% compared to a 2% sales increase, while EBITDA margins are up approximately 20 basis points year to date. We also continue to reflect benefit from lower net interest expense, which was down nearly $5 million from the prior year and primarily reflects reduced debt levels and greater interest income from higher cash balances and investment yields. Combined with a lower tax rate relative to prior year levels, reported earnings per share of $2.48 was up 4% from the prior year adjusted EPS levels. Moving to our cash flow performance. Cash generated from operating activities during the third quarter was $84,200,000 while free cash flow totaled $76.7 million or 79% of net income and was up 14% from the prior year level. Year to date, we have generated nearly $235 million of free cash, which is up 64% from the prior year, reflecting sustained earnings growth, our enhanced margin profile and ongoing progress on working capital initiatives. From a balance sheet perspective, we ended March with approximately $457 million of cash on hand and net leverage at 0.3x EBITDA, which is below the prior year level of 0.9x and unchanged from last quarter. Our balance sheet is in a solid position to support our capital deployment initiatives moving forward, as well as enhance returns for all stakeholders. During the Q3, we repurchased approximately 100,000 shares for $18 million. This brings our year-to-date total on share repurchases to $29 million. Turning now to our outlook. As indicated in today's press release and detailed on page 12 of our presentation, we are updating full year fiscal 2024 guidance to reflect third quarter performance and our fourth quarter expectations. Specifically, we now project adjusted EPS in the range of $9.55 dollars to $9.70 based on sales growth of 1.5% to 2.5% including a 0.5% to 1.5% organic growth assumption as well as EBITDA margins of 12% to 12.1%. Previously, our guidance assumed EPS of $9.35 to $9.70 sales growth of 1% to 3% and EBITDA margins of 12.1% to 12.3%. The updated adjusted EPS guidance range excludes the $3 million net tax benefit realized in fiscal 2024 second quarter related to the tax valuation allowance adjustment. Our updated guidance implies a fiscal fourth quarter EPS range of $2.44 to $2.59 and an organic sales per day range of down 1% to up 2% year over year and EBITDA margins of 12% to 12.4%. Our fourth quarter sales guidance takes into consideration organic sales month to date in April, which are down by a low single digit percent year over year combined with ongoing economic uncertainty. In addition, we expect year over year sales declines to persist in our engineered solutions segment during the fourth quarter reflecting softer fluid power OEM demand and uncertainty around the timing and magnitude of recovery across the technology vertical. Overall, while we remain constructive on our setup moving forward, considering easier prior year comparisons, favorable trends within our shorter cycle service center operations and sustained benefits from our internal initiatives, we believe it remains prudent to take a balanced approach to our near-term outlook pending more definitive and broader signs of a positive inflection in macro and industry conditions. Lastly, from a margin perspective, we expect fourth quarter gross margins to be flat to up slightly sequentially, inclusive of ongoing mix headwinds near term. We also expect ongoing expense deleveraging near term based on our fourth quarter sales outlook and growth positioning go to a lesser degree than in the third quarter and balanced by cost controls and reduced professional fees. Combined with lower LIFO expense compared to the prior year and easier comparisons, we expect year over year EBITDA trends to show improvement from third quarter performance. With that, I'll now turn the call back over to Neil for some final comments.
Neil Schrimsher: Thanks, Dave. As we prepare to close out fiscal 2024, I'm proud of the ongoing progress we're making to strengthen our industry position, customer experience and growth potential. This is evident in our year-to-date performance where we have sustained year-over-year organic sales growth against difficult high teen growth comparison during a period of sub-fifty PMI readings, declines in industrial production and notable technology vertical headwinds. We've also expanded margins and sustained earnings growth year to date while strengthening our cash generation to record levels. These results clearly show the traction of our strategy and internal initiatives are having, including diversifying our end market mix, gaining exposure to sustainable noncyclical growth tailwinds and enhancing our operational capabilities. As we look ahead to fiscal 2025, I remain constructive on the outlook for our company and the potential for sustained above market sales and earnings growth. While we are cognizant of various crosscurrents that remain, we are encouraged by recent improvements in various industrial macro indicators that correlate with our business. This includes the ISM PMI above 50 during March, including the production sub index at its highest level in nearly two years. In addition, durable goods orders are showing improvement and federal stimulus for infrastructure build out is starting to flow at a greater rate. We're also uniquely positioned to benefit from many secular and structural tailwinds continuing to play out across North American manufacturing and industrial sectors. Our technical domain expertise within industrial facilities across North America, including local MRO and engineering support on critical capital equipment is increasingly vital as customers manage through an aging skilled labor force along with continuing requirements tied to reshoring and U.S. infrastructure investments, both of which are expected to gain momentum moving forward. We see additional support levels from energy security and supply chain hardening. In addition, our strategic positioning and capabilities in areas of pneumatic automation, fluid conveyance and robotics have expanded our addressable market and organic growth profile across the technology sector, which we believe could reemerge as a meaningful earnings tailwind giving ongoing and critical build out of semiconductor manufacturing and data center infrastructure. Combined with our balance sheet capacity, we expect to make ongoing progress in fiscal 2025 to move towards our intermediate objectives of $5.5 billion in sales and 13% EBITDA margins, while also developing the next step in Applied's evolution and long-term potential. I want to recognize our entire Applied team. They're the foundation of our performance and evolution. Their perseverance and customer focus and operational focus provide a strong position to accelerate our potential moving forward. As always, we thank you for your continued support. And with that, we'll open up the lines for your questions.
Operator: [Operator Instructions]. Our first question comes from the line of David Manthey from Baird. Please ask your question.
David Manthey: Thank you. Good morning, everyone. First question is on your positioning the company for accelerating growth in the coming fiscal year. Could you just talk a little about the type of investments that includes? And then of course, everyone has a plan till they get punched in the face and obviously things don't materialize as expected, how can you adjust the posture of that growth, that you're leaning into if things don't materialize as planned, if at all, maybe some of those things you'll just wait it out. But if you could give us an idea of the plan here for the coming fiscal year, I'd appreciate it.
Neil Schrimsher: Yes. And hey, David, I'd say still a little early as we think about the fiscal 2025. Obviously, we're working through it and we'll talk more specific on it. I did tell some of the team, in my view, this is almost the most wonderful time of the year, right? We work to close a fourth quarter. We build long range 3-year plans plus our next year's operating plan. So we're active into it. I think on preparing the company for growth, I think we've been doing that. As we look at our position around technical MRO and our service center's position there and the benefits that we have for ongoing secular trends from reshoring and heightened investment and our customers dealing with probably low CapEx in that industrial capacity for a period of time and then this aging technical workforce. So stay well positioned there. And then the trends that we see around infrastructure and technology and how we've diversified the company in engineered solutions. And so even now, right, we absorb some off highway mobile headwind with that diversification that we've had around flow control, the industrial side of fluid power and now even more on automation. So I think specifically in the quarter as we saw a little bit of that volume softening late in March, We knew in that with some of the holiday timing, the businesses around off highway mobile and certain degree automation are a little labor intensive of building out those solutions either on our part or customers accepting them. So I think that played into a little bit of the result in that period. But our view is obviously we're staying committed to having the right technical resources in both sales engineering and application engineering to convert these projects. I like the work that we have in emerging areas, including things like electrification in that. And so those will be the investments that will continue. If some of this doesn't materialize or the environment changes, obviously, we've got natural shock absorbers in the business as we think about our cost position in that. If there's lower volumes, things in commissions and incentives adjust, freight adjusts. So there's those natural shock absorbers. And then if it's beyond that, I think obviously we've demonstrated the cost accountability and have the history that will respond accordingly. But if I look out, I don't think that's the environment that we're preparing for. Obviously, we know how. But I am constructive on the outlook that we have for performance and really some continued outperformance as we turn into 2025.
Dave Wells: I'd just take on there, David, and add that the a lot of the investment was more transitory in nature. I think if you look back obviously to the last couple of years and especially during the COVID downturn, we continue to make investments in the business while leveraging some of those shock absorbers that Neil indicated and some of the benefit from our systems investments, shared services, process improvement, etc. So if I strip apart the SG&A for you, pulling out the impact of currency, the M&A kind of cost that's been add on year over year basis and the AR provisioning that was an unusual prior year benefit that we call it out, up only 1.2% operationally year over year. And as I look at the kind of the impact of staffing, only 30 basis points of that was really driven by higher staffing costs, the merit impact, etc. And some of the investments that we've made in personnel resource, a lot of these investments were more transitory the terms of supporting the Kopar acquisition, the legal work that went on behind that. Some of the automation greenfield activity we have going on as well as some of the expansion that we have ongoing with both the Olympus to support some of the automation opportunities we've seen going forward, as well as some expansion of facility in the tech side of the fluid power business, thinking about what's coming to us there with the particularly out of semi space. Just give some further clarification on some of those investments and how we see some of this normalizing to degree in terms of the deleveraging in Q4.
David Manthey: Yes. Thanks for all that detail. You guys are clearly well positioned and you've historically been very nimble as it relates to changing economic landscape. So, just another quick one on this Grupo Kopar. If you pro form a this fiscal year, say fiscal 2024 for that acquisition, assuming it goes through, what would be the revenue run rate at that point? And then second, I'm assuming that Kopar works with these maquiladoras. Are some or many of the customers that they deal with domicile or have U.S. operations that becomes a cross sell opportunity for you now?
Neil Schrimsher: So I can start. Based on the footprint and the capabilities, they would be more than just maquiladora's strong presence in the interior and throughout Mexico. Obviously, we're encouraged if we think about the amount of foreign direct investment going into Mexico and many people looking at it as an additional place to do business as supply chains more regionalized or localized U.S. North America perspective. So we view that as very encouraging. There will be some opportunity for cross selling and further customer cooperation in U.S. and Mexico. But also we have a very strong position in Mexico on our service center side of our business today and operate. So we think about bearings and power transmission and fluid power. In time that will open up some of those opportunities. If I think about it from an annualized basis on sales, right, we touched on it to around the $60 million of sales. And basing on the time it closed, we can look at calendarizing it. But I'd say a first pass would be pretty orderly from a rate standpoint.
Operator: The next question comes from the line of Christopher Glynn from Oppenheimer. Your line is now open.
Christopher Glynn: Thanks. Good morning. I wanted to ask about the tenure you're seeing from the smaller customer base. One concern we've had is the kind of lag defective rates and inflation on the less resourceful portion of the industrial economy. So I'm wondering if you're seeing any particularly interesting insights into that smaller customer base?
Neil Schrimsher: Yes, I'd say specifically as it relates to that, we've solved positive developments that helped contribute to the overall service center performance on that. We're also seeing that customer segment look to more things for us to do and help them with. Obviously, they too can be challenged with workforce aging technical workforce in that. And so just like large customers have been looking at that and outsourcing some of those requirements, we're seeing local customers expand. So we remain encouraged. I think we touched on our overall market. All in all still a good productive environment with 15 of them up slight decline from the prior quarter at 18. But those local customers participating, especially in those vertical segments are active and doing well. And I think local customers are getting pulled into and benefiting from ongoing reshoring because I think some of these larger customers and these global customers are either pulling the work internal or they're finding qualified localized suppliers to help them with. And I think that's been an additive lift for some in the local economy.
Christopher Glynn: Thank you for that. And I wanted to follow-up on the linearity. I think that things improved throughout the month. April was low single digits. I think that has favorable Easter timing in the comparison. So just curious how to kind of plug that into our thought process on the fourth quarter guide with April seeming a little less constructive toward that?
Neil Schrimsher: Okay. No fair. Good question. Clearly March was good across the service center network a little bit of normalizing in there, but still positive trends. If I think about April from a comparable standpoint, it does step up a little bit, a little tougher comparison I think by maybe a couple of 100 basis points there in the side. And so still a few days to go in that April side. So I don't read too much into it, but obviously, hey, we want to be prudent and have the right balance as we look ahead at some of these crosscurrents and as we prepare for fiscal 2025 and the opportunities that we see ahead.
Operator: The next question comes from Ken Newman with KeyBanc Capital Markets. Your line is now open.
Ken Newman: Good morning, guys. Just curious, you know, can you just talk through the Applied 4Q ADS growth guide? Obviously, the midpoint is assuming a sequential step down from the 70 basis points up you put up this quarter. But the comp next quarter looks like it's stepping down again and is much easier. Any color on whether the guide is really just conservatism, or is it just taking a more prudent approach to what you're seeing so far in April? Just any color to help us think about, your expectations for the sequence of ADS growth as we move throughout the next quarter?
Dave Wells: You bet. Here again, guys, some so really the guide does assume some continuation of the trends that we saw and no real recovery out of the tech or the fluid power OEM space. So that just a couple of some of the market uncertainty, we said we wanted to be prudent as we think about the guide. So the Q4 once again that would imply organic sales growth in the updated guidance of overall 1% to 4% up on organic basis down potentially 1% to an up 2%. So at the midpoint that would assume some slight further deterioration in the overall markets. So we'll work to offset that obviously with kind of continued push on some of the opportunities and the stronger booking trends that we are seeing in that engineered solution space, where for the first time in about 7 quarters, we did see kind of a one to one book to bill ratio. So that was encouraging as we've seen some of those order trends come back, which have continued to supplement some of that stronger flow control kind of like I said, high single digit growth that we saw there in the most recent quarter. So that's how I'd frame it up, really continuation of the same that we saw this quarter with just the further uncertainty and there's a potential for the market contraction set around that midpoint.
Neil Schrimsher: Yes. I'd say further into it, Ken, if we look at the detail, we think the service centers in that could be flat, up low single digit, but while the engineered solutions segment perhaps down low single digit as we take it forward. So there's sequential improvement at the midpoint, but probably slightly less, maybe 100 basis points below that normal seasonal pattern.
Ken Newman: Understood. That's very helpful. For my second question, just going back to Kopar, I think this may be one of the first deals that you've made that's really focused on the Mexican market. I'm just curious how large of an opportunity is Mexico for you, and, you know, should we think about this deal or view it as a modest shift for, focusing more on the international market rather than the U.S, North American market?
Neil Schrimsher: I'll start excited about the addition. We see a lot of alignment from a strategy standpoint. I mean, we have a common approach in thinking about vision and robotics and linear motion and connectivity. Teams have known one another for an extended period of time now and so we see a lot of growth opportunity. Back to the earlier, the economy in Mexico, the amount of foreign direct investment coming in, so we think that is very positive. We've said for a while, our focus clearly remains on our U.S. opportunities in U.S. North America. And in time, right, we'd like to add to our capabilities outside of the U.S. in North America with automation and some of the other engineered solutions areas. So it's a logical extension, but we still will remain to have a clear U.S. North America focus because market back, that's where we see significant opportunities.
Ken Newman: Yes. Maybe if I could just squeeze one more in here. On the automation business specifically, where is that run rating in revenue today? And do you have a sense of when sales there starts to bottom out?
Dave Wells: We think they probably sales could be, would be similar in the Q4. So in this last quarter, we were mid-single digit decline in that side. If I look at preorder or order activity, what our sales engineers are involved with, projects that our application engineers are working with, the cooperation, the opportunities that our service centers are opening up on that side, we think as we go into fiscal 2025, there's a return to growth in that segment. If we look down below in some of those product groups, we think there's going to be more and more mobile robotics opportunity in that side. So I think that's what we would expect going forward. We entered the fiscal year at play at a run rate of a couple of $100 million with automation. Obviously, as we progress forward and move towards closure with Kopar, we'll add to that $60 million of sales or so in that side. So we continue to scale this business. We'll look for opportunities to organically grow. We greenfield in a couple of geographies. And so we'll also look at perhaps right acquisition opportunities to further build out that footprint and platform. But we're encouraged by it. As we are with the amount of automation that exists in some of our other parts of engineered solutions right now because there's elements of that reside in fluid power, but also our flow control as well.
Neil Schrimsher: Let me just remind you, Ken, we did say on the prepared remarks that the sequentially the automation shipments were really low in Q2. So it feels like we've seen that trough. I said, did see stronger order intake that kind of 1 to 1 parity obviously with the as we talked about with the shipments in the quarter. So that was a positive sign. So hopefully we've seen that trough and do you see some improvement given some of the booking rates and the project quotation activity that we're still enjoying right now.
Operator: The next question comes from the line of Chris Dankert with Loop Capital. Your line is now open.
Chris Dankert: Hey. Good morning, guys. Thanks for taking the question. I guess, just first off, you know, Dave, obviously mentioned. I guess, just first off, you know, obviously, not a principally backlog driven business, but, is backlog still kind of, you know, 2x what the normal level is in engineered solutions? And if so, is there any kind of bottleneck kind of still slowing down some of those shipments from moving forward here?
Dave Wells: I would say, yes. It's still running at that we think about it pre pandemic levels of 2x normalized backlog. So that is encouraging. There's probably pockets that some things could be held up by some component or assembly or where the solution fits in the overall project with the customer in that side. So there could be some of that. But we view the backlog at its level constructive. We touched on in the remarks flow control added to it in that side. So we think there's a productive base to operate from. And we would think that orderly works its way out as we look forward, especially as we go into 2025.
Chris Dankert: Got it. Makes sense. And then just anything to write home about in terms of the Northwest facility expansion? Any update on the facility there?
Neil Schrimsher: Continue to make good progress in that side. We'll move to beneficial occupancy soon into that. And so we're encouraged by that progress as well as Dave mentioned one other that we have in the fluid power space as well. So they're good projects. They take a little bit of time, effort, focus and attention. I appreciate the resources that are working on it. Some of that expense creeps into the results into the quarter. But we think those are very much investments to be making in the automation, in the technology, in the support of the semiconductor build out overall. So good progress and perhaps we'll look forward to showing it to a few in the coming periods.
Chris Dankert: Yes. You saw your developments for sure. Well, thank you, fellows, and best of luck finishing out the year here.
Operator: The next question comes from the line of Aaron Reed with Northcoast Research. Please ask your question.
Aaron Reed: Great. Thanks for taking my question. Just taking a step back and looking a little bit broader here. Can you speak on really what you're seeing in terms of on the inflation front? I know some of your competitors are seeing it come down quite a bit. What is your experience and kind of what are you seeing right now?
Neil Schrimsher: Yes. I would say, I mean, we will have continued expectations for inflation. And so if I look at -- obviously, down from the pandemic driven type inflationary periods. But if I look at prior to that, the number of increases are similar, right? Suppliers are getting orderly on that. But the rate of the increase is higher. And I think perhaps that could translate roughly 100 basis points more with the rate of the increase in the side. And I can contend there's going to be continued inflation into the business looking forward. While material inputs may soften or abate to a degree, the labor side of that has not. The general G&A type expenses of medical and some other things have not in those fronts. So from our side, we continue to see supplier increases. The pace is more normalized in that. Perhaps the amount of the increase slightly higher than they've been by historical standards.
Dave Wells: Which still read through to some of the higher LIFO expense that we talked about in the quarter, a little bit higher than expectation. So we've historically here again kind of nice steady inflation like this, very good for industrial distributors, have demonstrated the capability of taking that, passing it on. Just a reminder, but it does not necessarily always come in the form of price. There are some offsets to the degree that we have strategic or large national accounts where we've got some contractual pricing. Our key suppliers will work with us to absorb those price increases for the interim and make us whole so that we're not seeing that. So don't necessarily read through as a one to one to price, but certainly Neil indicated seeing that steady inflation continue, which overall is positive for the business.
Operator: Thank you. At this time, I'm showing we have no further questions. I will now turn the call over to Mr. Schrimsher for any closing remarks.
Neil Schrimsher: I just want to thank everyone for joining us today, and we look forward to talking with you throughout the quarter. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. [Operator Closing Remarks].